Operator: Good morning and welcome to the Emerson Second Quarter 2022 Earnings Conference Call. All participants are in a listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Brian Joe. Please go ahead, sir.
Brian Joe: Good morning and thank you for joining us for Emerson's Second Quarter Fiscal 2022 Earnings Conference Call. Today, I am joined by President and Chief Executive Officer, Lal Karsanbhai; Chief Financial Officer, Frank Dellaquila; and Chief Operating Officer, Ram Krishnan. As always, I encourage everyone to follow along with the slide presentation, which is available on our website. Please join me on Slide 2. This presentation may include forward-looking statements, which contain a degree of business risk and uncertainty. Please take time to read the safe harbor statement and note on the non-GAAP measures. Turning to Slide 3. As noted in our press release, Emerson officially announced the date and location of our 2022 investor conference. The conference will be held in person November 29 in New York City. More details will be distributed as we approach the conference later this year. I'll now turn the presentation over to Emerson's President and CEO, Lal Karsanbhai, for his opening remarks.
Lal Karsanbhai: Thanks, Brian. Good morning, everyone. I would like to begin by thanking the global Emerson team, who again delivered very strong results amid challenging operating conditions. I'd also like to thank and extend my appreciation to Emerson's Board of Directors for their energy and support of management. And lastly, to all our shareholders who believe in our value creation proposition, thank you. A lot has changed since our call three months ago. Operating conditions clearly worsened, the war in Ukraine, COVID lockdowns in China, resulted in a return to inflationary commodity environment, lead time extensions and shortages in electronics and logistics challenges. All this resulted in challenging variances across our businesses. But in spite of this, our business performance was strong, and we delivered differentiated results in our ability to execute. Orders grew 13% on a March ending three-month underlying basis, led by 17% growth in Automation Solutions and 7% growth in commercial, residential. Our underlying sales accelerated to 10% growth with conversion in Automation Solutions improving sequentially to 7%; and commercial, residential, very strong at 14% growth. We have broad world area strength across our business. Price activity was very robust in the quarter, and it is sticking. But it is largely offsetting inflationary impact of materials, labor and freight costs. We delivered incremental profitability of 24% in the quarter and remained committed to our guideline of 30% for the year. Earnings per share on an adjusted basis grew 21% to $1.29, $1.21 excluding an $0.08 impact that came in the quarter. Bottom line, yes, it is challenging, but our operating diligence, our management process enabled this performance. I'm very proud of the team. Going forward, we see a robust industrial environment, led by energy investments in North America and the Middle East. The war in Ukraine and sanctions on Russia has brought North America gas back to life. Reshoring, which many of us have talked about, which at this point has been largely discussed in relation to discrete manufacturing, can and should be now fully valued as it relates to energy, specifically LNG. And Emerson is uniquely positioned to capitalize on this trend. However, I should state that our perspective on energy remains unchanged. We will continue to divest, commoditized, upstream oil and gas businesses. We have two processes currently in the market. Sustainability investments are core to our customer success, and the unprecedented gas wave will serve both to shore up gas as a transitionary energy source and eliminate European dependence on Russian gas. Lastly, the technology stack that we can now bring to market, the best-in-class intelligent devices, a highly differentiated control system topology and the industry's leading software offering with AspenTech, place Emerson in a unique position to succeed. Our KOB 1 funnel grew to nearly $7 billion in the quarter, up almost $0.5 billion, with sustainability projects reaching $1 billion in value within that funnel. Demand in our climate business remained strong across most segments in the mid-single-digit range. We continue to work closely with our HVAC OEM customers, as we navigate through challenging inflationary environments. And I appreciate the efforts that carrier and train, in particular, have made to enable us to pass along price actions. The future of this business is bright. We will watch the current residential cycle carefully, but over the medium term, we're well positioned to capitalize on our ESG trends through more efficient systems, new refrigerant standards and the acceleration of heat pump adoption in Europe. Our professional tools and home products business continued to benefit from strong commercial demand, although residential demand has weakened in the quarter. And we attribute much of that to the fact that household disposable income cannot readily be applied to other activities in lieu of home improvements, and we're watching that carefully. Nevertheless, we have strong backlog positions in that business, which will enable us to deliver strong results for the year. Our confidence enables the raising guide we gave today of $0.05 on the bottom, which is at $4.95 or 10% growth and the top to $5.10 or 13% growth over 2021. Regarding cash flow, we remain committed to 100% conversion in 2022. Within this guide is the operational impact from our decision to exit our Russia business, which we announced today. This includes the sale of our Metran subsidiary. We will also continue to make progress on our portfolio journey, with the TOD divestiture expected to close in this current quarter and Aspen shareholder meeting scheduled for May 16, with close expected the same day. We're very excited and I remain excited about working with Antonio to build a unique, highly differentiated industrial software company. Lastly, I would like to say a few words about our people. Our culture work is underway and we are developing a talent philosophy, which will be highly differentiated and enable Emerson to attract and retain the best. A lot of great work on the way by the team on this front as well. With that, please turn to slide 5. We continue to see strong levels of demand across both platforms, as I indicated. I'll start with a few comments on Commercial & Residential Solutions, which trailing three-month orders were up 7%. We are still seeing broad strength across both Climate and Tools and Home Products as we hit both comparable results versus -- hit strong comparable results versus a year ago. Within Climate Tech, European resi and commercial heating markets continue to be strong, and Asian decarbonization trends are gaining momentum from government support. As expected, US resi demand began to moderate and as we went through the quarter, but remains positive in the Americas as we entered the peak cooling season. For the tools business, as I mentioned, commercial and industrial momentum continues, while residential began to slow. And we'll watch that very, very carefully, particularly the DIY rates as we go through this quarter. The trailing three-month orders for Automation Solutions were up 17% from the prior year, and that's indicative of the continued strength across process, hybrid and discrete. Within hybrid, life science investments remain strong globally, while metals and mining investments and resurgent -- are resurging, particularly in the southern cone of America, of Latin America and in Africa. In the discrete space, supply chain driven segments like semiconductor and electronics are on track for 20-plus percent year-over-year growth, while factory and machine automation maintained strong momentum. Process markets continue to gain momentum with chemical utilization improving and power market strength through renewables and grid modernization. We also see continued oil and gas spend, as I mentioned, led by US shale investments. Upstream CapEx is up double digit year-over-year despite reinvestment rates near record lows at 40%. We're in the beginning of a strong growth cycle. And I expect to see continued investments in key regions and in decarbonization initiatives. As oil prices rose, we saw more activity around key energy segments such as LNG, clean fuels and renewables. And let me share a little more color with you on these markets on the next slide, page 6. Just to give a perspective on what we're seeing in terms of LNG, which we highlight here, the US opportunity on the left side of the chart. If you think about the LNG way from 2000 to 2010, which is predominantly driven by the Middle East, we saw 125 MTPAs of invest, one million tons per annum capacity come online during that wave. In the 2011 to 2021 wave, which had a US component, a Russia component and an Australia component predominantly, another 125 MTPAs came online. We currently expect a 2022 plus forward a wave that we're now entering and is being funded to result in 250 MTPAs of investment, of which 150 already underway with an incremental 100 coming online over the next few years. So a very exciting period of time here as we think about gas, not just liquefaction, which will impact Middle East and US predominantly, but then the regasification and tanker investments that are required to get the gas into Europe through this segment. On the right-hand side of this chart, Emerson continues to play a pivotal role as traditional energy players and new entrants begin to focus on new energy segments such as clean fuels and renewables.  Our decarbonization and sustainability funnel grew to $1 billion in the quarter as energy companies are dedicating roughly 15% of their CapEx budgets to these projects. In clean fuels, Emerson was recently chosen as the main automation partner for the world's largest renewable diesel facility and will supply key digital offerings as part of this project. Emerson also expanded its role in renewable energy through its acquisition of Media Technique and American Governor acquisitions, which also have and also through some technology investments in the core portfolio. In the second quarter, Emerson Geological Simulation Software was selected to provide its geological and reservoir modeling software to HITA, a geothermal energy company in Belgium to increase the safety and reliability of geothermal energy sources. This is an exciting example of a traditional Emerson application designed for the oil and gas field now expanding to a diversified sustainability application. And then lastly, Emerson was selected as a software and controls provider for the world's largest battery storage facility, another high-growth area where Emerson brings immediate relevance.  And with that, I'm going to turn it over to Frank to go through the second quarter results.
Frank Dellaquila: Thank you, Lal, and good morning, everyone. Thanks for joining us. If you would, please turn to Slide 7 and I'll review the quarter. As Lal said, we had a very strong quarter. I want to also extend my thanks to everyone in operations for the execution that they turned in and have faced some very real operational challenges. Demand continues to be robust across most key end markets, driving second quarter underlying growth of 10%, ahead of the guidance that we provided in February. The higher sales were partially driven by price actions and realizations that were implemented to offset continued inflation. I will talk a little bit more about the price inflation dynamic when we address the guidance. For the quarter, we realized four points of price overall, and we did turn positive with respect to net material inflation as we said we would.  Adjusted segment EBITDA increased 20 basis points as we more than offset additional material costs and other inflation, which was significant, with increased price and effective cost management. SG&A performance was excellent. We leveraged it. It was essentially flat in dollars in Q2 versus last year and was leveraged two points across the enterprise, reflecting previous restructuring actions and spending restraint in the businesses.  Adjusted earnings per share was $1.29, up 21% versus prior year, exceeding the February guide of $1.15 to $1.20. As Lal mentioned, it includes an $0.08 tax benefit in the quarter. That benefit was included in the 22% tax rate guide for the year, but the timing of when we would see it in the year was uncertain. We had it – we actually realized it in the second quarter.  Free cash flow was down 50% versus prior year. This is mainly due to higher inventory as a result of defensive stocking due to supply chain constraints, finished goods awaiting shipment and of course, higher expected sales in the second half of the year. Nonetheless, we have a challenge. And while we believe, this is timing-related and we will get on top of it over the course of the year, we expect conversion to improve significantly in the second half. Turning to the platform results. Both businesses executed extremely well. Automation solution underlying sales were up 7%, led by the Americas and China. Price realized in the quarter was 2%. All key end markets showed strength, and KOB 3 activity continues to be strong, remaining at 60% of sales. Backlog increased by $400 million in the quarter to $6.4 billion, due to the strong pace of orders, which gives us confidence in the year-end and positions us very well into 2023. Operations have adjusted to longer lead times for critical production inputs, and they continue to effectively mitigate logistics constraints and other challenges. We expect our ability to execute orders in backlog to improve throughout the balance of the fiscal year. Automation Solutions adjusted EBITDA improved 170 basis points versus prior year on leverage, price realization and cost control, despite higher general inflation and significant cost increases for electronic components in the quarter. We experienced a sharp cost increase in the second quarter with respect to electronics that has been addressed by price actions and that will be recovered over the balance of the year. The strong operational performance in the platform is reflected in 55% leverage for the quarter. Another very, very strong operational quarter. Commercial & Residential Solutions also performed well operationally under a similar, but somewhat different set of challenges. Underlying sales increased 14%, including 9 points of price realization in the quarter. Price, less net material inflation, did turn slightly positive in the second quarter, as we said it would, and it is on the trajectory that we said we would be on when we described this in the last call. Sales were up double digits in all world areas, except China, where they declined slightly in part due to the lockdowns across the country. Commercial and industrial markets remained strong. North American resi grew well in the quarter. We are beginning to see some signs of moderation there. In tools and home products, service, industrial and online channel sales remain strong. There are some indications of slowing in the retail channel as do-it-yourself projects begin to be impacted by the inflationary environment and the diversion of people's attention to other things as the economy opens up. Backlog increased $100 million in the quarter, mainly in Climate Technologies. Adjusted EBITA was down 230 basis points, consistent with our expectations going into the quarter. As I said, price less net material inflation was slightly positive in the quarter, remained margin-dilutive, and additional price was realized, but was offset by freight inflation and above-normal wage costs. Please turn to page eight for the EPS walk. Adjusted EPS was $1.29, up 21% and exceeding the top end of the guidance range by $0.09, including an $0.08 tailwind from the discrete tax item. Adjusted EPS was also negatively impacted by $0.04 due to prior year one-time gains, the delta that is, was impacted. Again, as a reminder, adjusted EPS excludes intangibles amortization, restructuring, transaction costs related to the AspenTech transaction and first year purchase accounting charges. Operations in total leveraged at nearly 25% and contributed $0.11 to adjusted EPS versus the prior year. So before we go to the guidance, I'm going to turn this over to Ram, so he can provide an update on the operational and supply chain challenges that the businesses continue to face. Ram?
Ram Krishnan: Thank you, Frank. Please turn to slide 10. Clearly, like the last few quarters, the operating environment has remained challenging, as electronic supply, commodity inflation and logistics constraints continue to impact our operations globally. Additionally, geopolitical uncertainty and COVID lockdowns in China introduced new challenges as we exited Q2 and began the third quarter. On the commodities front, the current geopolitical environment has led to rising steel, nonferrous commodities and oil prices, causing incremental inflation on a large portion of our material purchases. This has been a significant reversal in course for some commodities such as steel. Due to the magnitude of the increases, additional material inflation will be incurred as we progress through the second half. Price actions already in place, and the additional ones underway will keep our price less material inflation positive for the second half of the fiscal year, but will constrain margins in our climate business. Higher oil prices have also led to increased logistics costs. This again reiterates the importance of our regionalization strategy, which allows us to leverage our strong regional supply bases and largely avoid expensive intercontinental logistics. On the electronics side, component availability remains a concern, especially within Automation Solutions. While we see stabilization of lead times, the market is expected to remain tight well into 2023 as capacity additions are not able to keep up with demand. Continued purchase price variances are also impacting profitability, although our proactive price increases help ease the impact. Our global teams continue to do outstanding work to qualify additional suppliers and redesign products to utilize available components, and we’re clearly seeing the benefit of this effort come through. Lastly, the China COVID lockdowns continue to be a fluid situation. The impacts to our second quarter were minimal, but these lockdowns are expected to have a bigger impact heading into Q3. The current issues are contained to our plant operations in Shanghai, but we are beginning to see constraints to our plant operations across the country due to supplier shutdowns. We're keeping a close eye on the situation and will adapt as necessary. While we expect to face headwinds in many of these areas for the rest of the year, we're confident, very confident, that our global teams will deliver differentiated operational execution in a challenging environment as evidenced by our strong first half performance. I will now turn the call back over to Frank.
Frank Dellaquila: Thank you, Ram. If you would, please turn to slide 11, and we'll go through the outlook for the year. So as Lal mentioned at the top of the call, we continue to see very strong demand across nearly all businesses and world areas that challenges our operational challenges. They are not challenges around the basic demand across the enterprise. Automation Solutions is strengthening across process, hybrid and discrete markets. In process markets, recent events will drive incremental investments across the energy value chain. This strengthening demand will spur growth in transition markets like LNG and emerging markets like clean fuels, battery storage and renewables, as well as in traditional oil and gas markets as Lal discussed. Together with continued robust demand in chemicals, power gen and grid modernization, we are increasing our outlook for the process market growth in 2022 to high single digits. We also expect hybrid demand to remain strong at mid to high single digits, including continued life science investments and high commodity prices, boosting metals and mining CapEx. Discrete markets remain strong in the 10% range with semiconductor, electronics and factory automation investments are all strong. So while we're encouraged by the underlying demand situation, there are constraints, as Ram outlined, remaining -- regarding supply chain, logistics and potentially COVID in China, which is an evolving situation. It's already had somewhat of an impact in the quarter, and there's uncertainty as to how that will unfold. In particular, we expect challenges to continue around electronics availability, and we expect that to continue into 2023. Continued strength in our core markets, our backlog level and orders momentum provide the underpinning for strong second half sales growth, and we will have to deal with those challenges as they evolve. Overall, we have confidence in our fiscal year sales guide for Automation Solutions despite these challenges and we also have included in the guide the reduction in volume related to the exit from our Russian business, as Lal described at the top of the call. In Commercial & Residential Solutions, we expect continued double-digit sales growth for the third quarter and full year. Demand continues to be strong against resi and commercial businesses. In Climate Tech, residential growth is supported by European heating markets and by new product launches currently underway for the 2023 US regulation changes. Climate commercial and industrial growth is also supported by the European and Asian heating markets. Tools & Home Products retail sales are expected to moderate due to the effect of consumer inflation, as I said earlier. However, continued industrial momentum will benefit the Professional Tools business. Please turn to slide 12 for the outlook. We are increasing our underlying sales range by two points to 9% to 11%, driven by the demand outlook and by incremental price versus the prior guide. Automation Solutions guide will remain at 7% to 9%. As discussed on the previous slide, we're increasing our underlying sales expectation for commercial and residential to 12% to 14%, and this is substantially attributable to incremental price being realized in the business. We continue to expect to see tailwinds for price less net material inflation in the second half as we previously communicated. This is the traditional price/cost relationship that we have always discussed in the context of this business. This year is different. We are seeing significant inflation in other cost areas, and we are implementing significant additional mitigating price actions to protect profits. These actions, however, constrain or dilute margins. For this reason, we're going to talk about price less net material generally as price/cost, as we have described in the past, doesn't really capture the breadth of the inflation challenge. I want to point out that we are realizing more than 100% of the material-driven price that was in our and we are implementing actions to offset resurgent material costs as well as the other elements of inflation. We're achieving substantial price realization for 2022, but that overall inflation dynamic pressures incremental margins in commercial and residential. We will continue to drive for 30% incrementals for the year for total operations, but we'll probably get there differently than we thought we would even three months ago with stronger leverage in Automation Solutions and pressure on the leverage in commercial/residential due to the price inflation equation. The other elements of the guide, tax, dividend, and share repurchase remain the same as they were in February. Operating cash flow is now expected to be $3.6 billion due mainly to the increased inventory resulting from supply chain constraints as well as some other balance sheet timing issues. We are absorbing within this guide as well $100 million of tax payments associated with the Vertiv gain that we booked in the first quarter under GAAP fees run through operating cash flow, although they really are related to the financing cash flow that we realized when we booked the gain in the first quarter. Free cash flow is now $3 billion and represents approximately 100% conversion for 2022 after converting at 130% last year. The GAAP EPS guide is updated for our improved sales outlook, and as a reminder, includes two items related to the AspenTech transaction, both estimated transaction fees and interest expense on the $3 billion of term debt we issued in December in anticipation of the closing. The adjusted EPS guide moves up $0.05 at the bottom and the top to $4.95 to $5.10. Inside this guide, we're absorbing the estimated impact to operating profits related to the reduction of our Russia business, but we have not included any other potential cost or charging result -- or charges, pardon me, resulting from the exit which are not yet known with any precision. Also to be clear, no estimate of the operational impact of AspenTech is included in these guidance numbers nor is the future gain or tax impact of the TOD divestiture, which is expected to close this quarter. Turning to Slide 13. I'll cover the third quarter. Q3 2022 net sales growth is expected to be 7% to 9%, underlying sales growth between 9% and 11%. We expect Automation Solutions underlying sales in the range of 7% to 9%; commercial and residential, between 13% to 15%. GAAP EPS is expected to be between $1 and $1.05; and adjusted EPS, between $1.25 and $1.30 on the same basis I described for the year. I want to point out that this guide considers the current environment and challenges that the businesses are navigating, including the COVID shutdown, the continued electronic shortages. We're one month into the quarter, and these are very real impacts on the quarter. We intend to work through them. And assuming that the critical uncontrollable variables likely stabilize or improve, we would be well positioned to deliver a very good third quarter and then a very strong fourth quarter to close out the year. And with that, we will open it up for Q&A.
Operator: Thank you. We will now begun the question-and-answer session [Operator Instructions] And the first question will come from Joe Ritchie with Goldman Sachs. Please go ahead.
Joe Ritchie: Thanks. Good morning, everyone.
Lal Karsanbhai: Good morning, Joe.
Joe Ritchie: I want to maybe start off with China today, like I saw that you saw double-digit growth in Automation Solutions. I'm just curious, how did that trend through the quarter? And then what are you kind of factoring in for the lockdowns and the impacts associated with that in your guidance?
Lal Karsanbhai: Yes. I'll speak to the business activity, Joe, and just focusing on your question around auto sol. Very strong quarter and -- both in sales conversion but also in orders when you look at the destination business, both in the mid-teens, high to mid-teens. So we feel very strong about the activity in infra auto sol. The commercial/residential activity is somewhat more muted, driven by the climate resi cycle. And those orders were softer as we went through the quarter. But when I look at the project activity, when I look at the installed base momentum we have in China, I see the outlook -- I continue to feel very strong about the outlook for the year, Joe, for us. In terms of sales conversion, Ram, if you want to speak to it.
Ram Krishnan: Yes. So Joe, I think, obviously, we've got 20 plants across China, and we have a few around Shanghai, where we have experienced constraints in the last four weeks. Hopefully, as we go into the month of May, we're starting to see those open up. We partially opened up in the Shanghai area this week. Clearly, we have supply chain across China that supplies us that have been impacted. We are expecting that situation to improve as we go through the quarter. April was a tough month for us, but we do believe that as the – we built in improving situations through the quarter, and that's kind of baked into the guidance.
Joe Ritchie: Okay. Great. That's helpful. If I could ask a follow-on question, and apologies if I missed it earlier. But in C&RS, I know that, there was an original assumption that we could potentially see flat to slightly up margins in 2022. Just help us understand how that – how you expect the margins in that business to expand in the second half of the year. And then any commentary on price/cost in C&RS would be helpful.
Frank Dellaquila: Yeah. Joe, good morning, this is Frank. So the margins will improve sequentially in the second half as we've expected all along based on the price/cost, the incremental price, that will come through. The price is back-end loaded for the year in Climate Tech. Year-over-year we are struggling to get to a push because of the incremental inflation in the business. So the business will deliver EBIT dollars, strong increase in EBIT dollars year-over-year and consistent with what we thought we would do at the beginning of the year, but the incremental inflation and the price that the business is going out to cover dilutes margins.
Joe Ritchie: That makes sense, Frank. Yeah. Thank you. I’ll get back in queue.
Lal Karsanbhai: Thanks, Joe.
Operator: The next question will come from Steve Tusa with JPMorgan. Please go ahead.
Steve Tusa: Hey, guys. Good morning.
Lal Karsanbhai: Hey, Steve.
Frank Dellaquila: Good morning, Steve.
Steve Tusa: Sorry, I was on the speaker there. Just on the orders, you noted some signs of moderation in residential on the C&RS side. Any other part of the order trends where there was a bit of a standout in terms of either slowing or accelerating? Any real kind of standouts on the order front on kind of a sequential monthly basis?
Lal Karsanbhai: Yeah, Steve. No, good question. No, beyond the – we're watching the resi very carefully, obviously, not just the climate side but on the home tools side and watching for traffic through our big-box partners there. But beyond that, look, the strength in automation continues. I think we're energized by seeing the capital project funnel grow and the opportunities there. KOB 3 continues to be very strong, 60% in the quarter for Automation Solutions. That's been the engine in that business. But now with a KOB 1 and 2 wave coming at us, feel very robust about the outlook there. Beyond that, nothing else to comment. Ram?
Ram Krishnan: No. And Steve, I think the European heat pump business remains strong, very, very strong. And actually, our North American HVAC residential business also remains strong.
Steve Tusa: Okay. So it's more in kind of the resi side of tools, if you will?
Ram Krishnan: Correct.
Steve Tusa: Yeah. Okay. Great. Thanks a lot guys. Appreciate it.
Lal Karsanbhai: Thanks, Steve.
Operator: The next question will come from Scott Davis with Melius Research. Please go ahead.
Scott Davis: Good morning, everyone.
Lal Karsanbhai: Good morning, Scott.
Scott Davis: A couple of things. I mean, just if we want to go back to chip availability, I mean, you guys were a little bit more confident, I think, last quarter in supply and demand matching up perhaps by the back half of the year. Has this just shifted to the right? And I guess another way to ask it is, are you less confident today than you were three months ago? 
Lal Karsanbhai: I will let Ram give its perspective, but my perspective is, its gotten tougher. We have to for quarter, get more creative, qualify different suppliers, go into the open market which all of that creates variability, variances in the P&L and challenges. But -- so that's versus where we were essentially three months ago. But having said that, we'll have to watch China carefully as we go through here, through the month of April and May and watch how – what happens in the supply chain there. But that's how I feel about it. It certainly didn't get better between the China COVID lockdowns and obviously the war in Ukraine. Ram?
Ram Krishnan: Yes. And particularly on the electronics or the chip shortages, lead times have stabilized, but they are running at 3x of pre-COVID levels. And so, we're managing in that environment. The piece that we thought would improve was component shortages, but the – but we continue to fight shortages on a weekly basis that are impacting our businesses. And hopefully, we'll start to see that improve over the next several weeks. But at this point, we had hoped to see improvement in the shortages, and we haven't.
Scott Davis: That's super helpful. And then other SKUs, are -- is it a different list of stuff this quarter? Is it the same list of stuff that's hard to get or a different list? Is it changing, or is there more stability there across the board?
Ram Krishnan: I would say it's similar, I mean, similar type of components that we use primarily in our Automation Solutions business and some parts of our commercial and residential business. So, I wouldn't say it's changing. But I would say, I think the shortages are not improving.
Scott Davis: Okay. Thank you. I will pass it on.
Operator: The next question will come from Andrew Obin with Bank of America. Please go ahead. 
Andrew Obin: Hi, guys how are you? 
Ram Krishnan: Hey Andrew.
Andrew Obin: Just based on the relative increase in revenue and EPS, it seems like – and this is our math, I apologize. This is like 2/3 additional price that just offsets high inflation. But there seems to be a 1/3 of the increase, which is real volume growth with normal incrementals. So first is that characterization, right? And second, where was the stronger volume?
Frank Dellaquila: So Andrew, I don't know if it's exactly 2/3 or 1/3. I think generally, the characterization is right, that most of the increase in the revenue forecast is price, with pressures margins. But there is some underlying volume increase as well. It comes through a very strong underlying leverage actually when you factor out the inflation items.
Andrew Obin: But what end markets specifically?
Frank Dellaquila: Automation.
Ram Krishnan: Yes. Automation.
Frank Dellaquila: Yes. Automation Solutions, yes. And residential, it's, I would say, almost entirely price-driven at this point.
Andrew Obin: Got you. And a follow-up, just going back to chip availability. There's a lot of talk about capacity -- trailing-edge capacity coming on in the US maybe in six months at places like Texas Instruments, Intel. What kind of conversations are you having with those guys? And when do you think you're actually able -- instead of going through brokers and redesign and sort of struggling with the supply chain, how long do you think it takes for real incremental sort of lower capacity to become available in North America from core manufacturers? Is it six months, or is it more like 18 months to two years? Thank you.
Ram Krishnan : Yes. So Andrew, great question. First off, to answer the first part, we are in really good dialogue with suppliers like Texas Instruments, which are very important -- NXP, TI are important suppliers to us on this exact same discussion. We believe that, particularly for our types of chips that go into our Automation Solutions product offering, it's nine to 12 months is the time line for when we expect the capacity to come online or at least that's really when the discussions we've been having with the likes of TI. So that's really what's being planned. We expect the constraints to last at least until then. But hopefully, in nine to 12 months, we'll see that capacity impact lead times.
Andrew Obin: So early calendar '23?
Ram Krishnan : Yes.
Andrew Obin: Thank you so much.
Ram Krishnan : Thank you.
Lal Karsanbhai: Thank you, Andrew.
Operator: The next question will come from Andy Kaplowitz with Citigroup. Please go ahead.
Andy Kaplowitz: Good morning everyone.
Lal Karsanbhai: Good morning.
Ram Krishnan : Good morning.
Andy Kaplowitz: Maybe can you talk about how your Automation Solution customers are thinking about large projects at this point? Obviously, commodity prices are more supportive. You talked about energy independence and LNG, but there's also higher inflation, higher rates. So how do you think the CapEx cycle plays out here? And what are your customers saying about moving forward with these bigger KOB1 investments?
Lal Karsanbhai: Yes. Good question, Andy. So, twofold. One, there continues to be strong support both inside the Boardroom and in actual spend around sustainability investments. Those continue to be funded. There's a lot of creativity in terms of what they are and how they're being implemented. And that's reflected in our funnel itself growing now to about a semblance of the total KOB funnel. So very relevant there. And I feel confident and how those continue to move forward. On other CapEx, what we've seen and the biggest change we've seen as we went through the quarter was gas. And the conversation around gas really we're 71 days into the war, and that's only accelerated. And the opportunities in -- particularly in three places: in Qatar, in Louisiana and in Texas. We had a significant amount of work, engineering work that was done pre-pandemic around investments in LNG in Louisiana, in Texas. A lot of those were shelved. The good news is a lot of that engineering has been completed, and we're seeing a number of those coming back into play now with FID activities across a lot of those. So that would be the biggest change in acceleration in the funnel, and I think that plays very well. Obviously, gas for us is a very significant opportunity as we go forward. Ram, anything to add?
Ram Krishnan : Yes. I would just add, we are seeing more ethylene, methanol projects being talked through. And frankly, globally, some refining capacity coming online entering our $7 billion project funnel. So I think good activity across the board.
Andy Kaplowitz: Thanks. And maybe just following up on LNG then. You mentioned 150 MTPA is already underway, and there could be 100 more. But how much of the work is actually in your backlog at this point or burning through your revenue right now? How long -- how do you think the cycle will play out? And when do you think will be the peak impact on Emerson's businesses?
Lal Karsanbhai: Yeah. Look, the opportunity, let's say, size it at about $1 billion if you size it in total, and you can divide that over five years, I think it's fair to say into Emerson revenue, Andy. As you know, the cycle on construction is four to five years for each of these jobs. So take the $1 billion automation number that I essentially laid out for the 100 and divide it by five. Now what that doesn't include, in my opinion, is the regasification opportunities, which we'll see in Europe, in Germany, in places like Italy and Poland and the tankers and freighters. So that's in addition to this. But about fair. If you just did the math at $80 million per five MTPAs, that's how we'd size that.
Andy Kaplowitz: Appreicate it guys.
Lal Karsanbhai: Thank you.
Frank Dellaquila: Thanks.
Operator: The next question will come from Josh Pokrzywinski with Morgan Stanley. Please go ahead.
Josh Pokrzywinski: Hi. Good morning guys.
Lal Karsanbhai: Hi Josh.
Frank Dellaquila: Hi Josh.
Josh Pokrzywinski: So just to follow-up on Andy's question there. Just, kind of, wondering with this new project upcycle and a lot has changed in the industry and your business and the way the customers are approaching these things, a lot more digital, is there less of anything as you guys think about the bill of materials on the project? Is there something where maybe like a digital asset is replacing a physical one? Because it seems like the opportunity or the build material should be higher. I'm just wondering like if there's anything that gets smaller as we enter this like KOB 1/2 upcycle.
Lal Karsanbhai: Yeah. No, it's a great question. I'll let Ram give his thoughts as well. But look, what we do see is an increase in use of analytics and software on top of the stack. And if you think about the capabilities that an asset optimization software capability like AspenTech brings to the table, that's increasingly more relevant as far as the bill of materials for these customers. So that would be the biggest change. You still got to use farm control elements. You still have to sense what goes through pipes. You're talking about very strenuous conditions of pressure and temperature. And ultimately, you still have to control the recipe with a control system. But the analytics layer and optimizing the performance of the process, I think, is where we see increasing more spend. Ram?
Ram Krishnan: You're spot on. I think, obviously, the LNG wave is just going to be, from a content perspective, just as attractive as the prior waves for us with additional software that Lal mentioned. And then if you look at the sustainability wave around biofuels, hydrogen, et cetera, the content there is just as rich as what you would get in a chemical facility. So net-net, we don't see anywhere the content getting smaller. In general, it will just get augmented with more software data and analytics in addition to the mechanical and the instrumentation content that we typically have.
Josh Pokrzywinski: Got it. That's helpful. And then just a quick follow-up. Because these projects are longer cycle, do you guys have anything in terms of price escalators or indexing that you're putting in the contracts to protect yourself on the inflation side? Thanks.
Lal Karsanbhai: Yeah. No. Look, these are very detailed commercial agreements that we ultimately enter, and most do have some kind of inflation protection elements there on material. But keep in mind, obviously, on elements like control and software, there's very little material to speak of. So it'd be more on the final control side that we really work those very, very hard.
Josh Pokrzywinski: Perfect. Thanks.
Lal Karsanbhai: Thanks.
Operator: The next question will come from Deane Dray with RBC Capital Markets. Please, go ahead.
Deane Dray: Thank you. Good morning, everyone.
Lal Karsanbhai: Good morning, Deane.
Frank Dellaquila: Good morning, Deane.
Deane Dray: Hey. I know Aspen close is coming up soon. What are the plans right out of the gate? Do you have any like 100-day goals that you could share?
Ram Krishnan: Yes. So Deane, this is Ram here. Yes, great question. Obviously, we've been planning -- we've had plenty of time to plan for day one, particularly as it relates to integration and channel plans that have been thought through in great detail. So a lot of it, day one will really focus on getting the sales organization going on the sales synergies, which on a global basis is a significant part of the pieces. So, yes, the answer is, yes. Secondly, I mean, obviously, there's lots of opportunities on the technology front and a lot of dialogue underway there as well on the technology collaboration, which will be longer term, as it plays out. But certainly on the sales integration front, we're ready day one to get going.
Deane Dray: That's great to hear. And then, any comments on April? Anything specific that you could share?
Lal Karsanbhai: No. Look, I think the trends we talked about that impacted us in March, the COVID lockdowns in China, we continue to work through those. But beyond that, we're positive on the demand side of the equation through April, very positive.
Deane Dray: Great. Thank you.
Operator: Your next question will come from Nigel Coe with Wolfe Research. Please, go ahead.
Nigel Coe: Thanks. Good morning, everyone.
Lal Karsanbhai: Hey, good morning, Nigel.
Frank Dellaquila: Hi, Nigel.
Ram Krishnan: Hi, Nigel.
Nigel Coe: Can you hear me?
Lal Karsanbhai: Yes.
Frank Dellaquila: Yes.
Ram Krishnan: Yes. Yes, yes.
Nigel Coe: Yes. Okay. Great. Thank you. So look, AS margin -- incremental margin is extremely strong, I think 57%, if my calculations are correct and came in better than you expected. I think you were pointing towards maybe some sequential moderation from 1Q. So just curious, what's driving the upside and the strength in the incremental margins? And how do you see that over the balance of the year?
Frank Dellaquila: Yes. So, hi, Nigel, this is Frank. What we're seeing here is, all the hard -- coming to fruition all the hard work that was done in this business over two or three years. We don't talk about peak margin anymore, but I mean, this is the result of that effort. So despite incremental -- other kinds of inflation, despite even some NMI, which is unusual in the business to this extent, they're printing very, very strong incrementals, because the basic cost structure of that business has been reset. So the incrementals were extremely strong in Q1, and again, as you say, mid-50s in Q2, and we expect they'll continue to be strong in the balance of the year.
Nigel Coe: And then, obviously, the dollar is moving around a fair bit here. And sometimes, we have seen some FX impact moving around the AS margins. Is that a factor at all here?
Frank Dellaquila: No. Not really. No, not significantly. Not a material impact.
Nigel Coe: And then, my follow-on for Lal on the portfolio. Obviously, you've been very vocal about diversifying away from upstream oil and gas. Do you feel the change in tone around engine security? The US administration stands towards NG CapEx, natural gas, et cetera. Do you feel that you have more headroom and maybe some more time to design the portfolio diversification moves?
Lal Karsanbhai: No. Look, as I said at the offset, Nigel, I remain committed to diversification in the company. We're working actively on the portfolio management. And obviously, we'll talk at length in our November investor conference about the subject in terms of vision, and hopefully, some very meaningful steps. The commoditized element of oil and gas -- upstream oil and gas assets, we're continuing to work that very aggressively in the market. But in terms of the differentiated technology that is applicable not just in gas, but in life sciences and in many of our other markets, we remain committed to. And we remain committed to the investments around gas because I do believe if you just look at that energy equation that -- as a transitionary fuel over time, that's going to be required for the world to meet its needs.
Nigel Coe: Okay, great. Thanks.
Lal Karsanbhai: Thank you, sir.
Operator: The next question will come from Tommy Moll with Stephens. Please go ahead.
Tommy Moll: Good morning and thanks for taking my question.
Lal Karsanbhai: Good morning Tommy.
Tommy Moll: Digging on the topic of auto sol incrementals, I wanted to talk about pricing dynamics for your oil and gas business. Potentially, you've been able to pass through some inflationary items. But if we really think about net price, my assumption would be you started the year from a pretty low base just given the severe downturn in the recent past. But as we think through to back half of this year or really even next year, is there not an embedded call option on price here? I mean you've got a commodity environment that's got to be a tailwind. You've got record cash balances, margins, profitability, et cetera, across your customer base. Should we be fairly bullish on that front?
Lal Karsanbhai: Look, are you speaking specifically about Automation Solutions, Tommy? We continue to -- we have a long history of positive price activity in that market. And that comes from a basis of not just the market structure, but the relevance of our technology in the space and our ability to differentiate and drive price, obviously, is meaningful there. So, look, in some cases, we're up to four price increases across that space. We're working very actively through our selling organizations and with our end users. But I remain confident in that business of ability not just to continue to implement price as needed, but for it also to be realized into the P&L. Frank, anything?
Frank Dellaquila: Yes, Tommy, that business captures price year in and year out. It's a very strong business with respect to its ability to capture value through pricing. The commodity situation, with the exception of this unusual electronics situation, it's not nearly as impactful in that business as it is on the other side of the business. So I mean, typically, even with these kinds of broad commodity swings, while yes, they have a P&L impact, it's not determinative. Right now, it's the electronics. That really is the incremental variable that we are dealing with in terms of pricing, but there's no significant embedded price to come as a result of what's going on now. The pricing power in that business is very steady. We're stepping it up this year because we have an unusual situation.
Ram Krishnan: Yes. And just to add to that, commodities as a makeup of the cost structure of that business is not a big element of the cost structure. So -- but as Frank said, we've traditionally been green price/cost, and we'll continue to be green price/cost as we get into the second half of the year.
Tommy Moll: Thank you. That's helpful. And then shifting gears, I wanted to circle back to the outlook for resi HVAC. You gave some context that the trends may be slowing there and there's certainly been a lot of focus, at least in terms of the North America trends year-to-date and for the back half. So what additional insight could you give us there in terms of what you're seeing in -- on underlying demand?
Lal Karsanbhai: Yeah. Look, residential as a whole, particularly reflected in our home products business has weakened as we went through the quarter. And we've seen that in just the order run rates. Our climate business has remained strong to date. And as we get into the season, we'll watch how that translates, but feel pretty good about on the climate side still, Tommy.
Tommy Moll: Thank you. I’ll turn it back.
Operator: The next question will come from Brendan Luecke with AllianceBernstein. Please go ahead.
Brendan Luecke: Morning all. Thanks for taking the question.
Lal Karsanbhai: Good morning, Brendan.
Frank Dellaquila: Good morning.
Brendan Luecke: Circling back to the Russia question. Can you offer some color on the size of that business, what the impact is to point out for the guide on the year in Automation Solutions?
Frank Dellaquila: Sure. So we have said that that business represented on a full year basis about 1% to 2%, call it, 1.5% of sales. I'd say the average profitability relative to the total company. We had half of a normal year this year until the conflict began, and we've been scaling back the business significantly since, and now we intend to exit it. It will be a slow ramp as we exit it as we figure out exactly what those details are. But I mean -- with that context, I mean, you can determine what the full year contribution of the business is. And we've covered the piece that we expect to be without through the balance of the year within the guide.
Brendan Luecke: Fantastic. And then one quick follow-up on KOB 3 within Automation Solutions. Just struck by the fact that it was again the biggest growth driver here. Can you speak a little bit to, I guess, the dynamics there and how you're driving that improvement? How much of that is price? And how often you find yourself in competitive situations for those revenues?
Lal Karsanbhai: Yeah. Look, 60% of the revenue in the quarter in Automation Solutions was KOB 3, which is a replacement MRO business. That business is the least price-sensitive -- excuse me -- the least margin-sensitive of all the businesses and the one where we -- where price is the most sticky. So that was reflected in the results of Automation Solutions as we went through the end of March.
Brendan Luecke: Thank you.
Lal Karsanbhai: Thanks.
Frank Dellaquila: Thanks.
Operator: This concludes our question-and-answer session as well as our conference call for today. Thank you for attending today's presentation. You may now disconnect.